Operator: Good morning, and welcome to the Chart Industries, Inc. 2014 Third Quarter Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. You should have already received the company's earnings release that was issued earlier this morning. If you have not received the release, you may access it by visiting Chart's website at www.chartindustries.com. A telephone replay of today's broadcast will be available following the conclusion of the call until Thursday, November 6. The replay information is contained in the company's earnings release. Before we begin, the company would like to remind you that the statements made during this call that are not historical in fact are forward-looking statements. Forward-looking statements involve risks and uncertainties that could cause actual events or results to differ materially from those expressed or implied in the forward-looking statement. For further information about important factors that could cause actual results to differ materially from those expressed or implied in forward-looking statements, please refer to the information regarding forward-looking statements and risk factors included in the company's earnings release and latest filings with the SEC. These filings are available through the Investor Relations section of the company's website or through the SEC website, www.sec.gov. The company undertakes no obligation to update publicly or revise any forward-looking statement. I would now like to turn the conference call over to Mr. Michael Biehl, Chief -- I'm sorry, Chart Industries' Executive Vice President and CFO. You may begin your conference.
Michael F. Biehl: Thank you, LaToya. Good morning, everyone. I would like to all thank you for joining us today, begin by giving you a brief overview of our third quarter results, and then Sam Thomas will provide comments on current market trends we see in each of our business segments. I'll then finish up by commenting on our outlook for the remainder of 2014. Third quarter 2014 net income was $22.9 million or $0.74 per diluted share. This includes severance and acquisition-related costs of approximately $1.4 million or $0.03 per diluted share. Excluding these items, earnings per share for the quarter would have been $0.77 per diluted share. This compares to third quarter 2013 net income of $24.4 million or $0.74 per diluted share. Third quarter earnings for 2013 would have been $0.82 per diluted share, excluding $1 million of acquisition-related cost, as well as a $0.06 per diluted share impact associated with the company's convertible notes. Sales for the quarter were $294 million, a decline of 3% from the prior year quarter. Improved volume in E&C and both D&S North America and Europe were offset by shortfalls in BioMedical respiratory therapy in addition to D&S Asia. Our gross profit for the quarter was $91.2 million or 31% of sales compared with $88.6 million or 29.4% of sales a year ago. Gross profit improved as a result of project change orders received in E&C and regional mixes in D&S. With respect to the E&C business, sales increased 23% to $99 million in the third quarter on additional project volumes associated with small to mid-scale LNG liquefaction and petrochemical applications in addition to product -- project change orders. Gross margins were 31.7% compared with 27.1% in the prior year quarter as project change orders improved margins by approximately 5%. For D&S, third quarter sales decreased 8% year-over-year to $140 million. LNG sales growth in North America and Europe were offset by continued headwinds associated with the regulatory and customer delays in China. Gross margins for D&S improved to 29% compared with 28.1% a year ago due to favorable regional and product mix. In our BioMedical business, sales declined 20% to $55 million in the quarter. The respiratory therapy segment accounted for the shortfall as a result of continued customer consolidation and inventory rationalization, combined with reduced patient prescriptions for oxygen therapy due to Medicare audits of providers and physicians. BioMedical gross product margin improved to 35.1% in the quarter compared with 34.8% a year ago. We saw improved product margin mix in our cryobiological and on-site gas generation segments, as well as lower warranty costs in respiratory therapy. SG&A expenses for the quarter were $46.4 million, down $1.6 million from the same quarter a year ago. The decrease is largely due to lower estimated variable short-term incentive compensation based on year-to-date performance and lower sales commissions. SG&A as a percentage of sales improved slightly to 15.8%. Net interest expense was $4.2 million for the third quarter, which included $2.7 million of noncash accretion expense associated with the company's convertible notes. Cash interest for the third quarter was $1.5 million. Income tax expense was $12.1 million for the third quarter and represented an effective tax rate of 34.4% compared with an effective tax rate of 21.9% in the prior year quarter. The rate was higher in the current quarter due to an increase mix of U.S. earnings, which are taxed at a higher rate. In addition, the prior year quarter was favorably impacted by utilization of research and development tax credits, and these credits are currently not available in 2014. Lastly, we announced today an amended senior credit facility that enhances our capital structure while at the same time lowering our borrowing costs. This amendment extends our facility 2 years and adds $150 million of additional liquidity, providing flexibility to continue to execute our growth plans. I'll now turn the call over to Sam Thomas.
Samuel F. Thomas: Thank you, Michael, and good morning, everyone. As Michael mentioned, we continue to face headwinds on our BioMedical and D&S China businesses. While we believe that the headwinds associated with LNG in China will subside during 2015, we are a bit more circumspect on the near-term growth outlook in our respiratory therapy business. I'll have more to say on these topics later. Sequential order intake improved 26% in the third quarter of 2014 driven by E&C LNG liquefaction awards we've previously announced, partially offset by declines in D&S and BioMedical. I recently attended the High Horsepower LNG Summit in New Orleans, which reaffirmed my belief in LNG as a long-term diesel fuel replacement in high horsepower applications. We participated in several panel discussions from liquefaction through distribution, to end use for marine, rail, mining, oil and gas and power generation applications. There was a doubling of end-user attendance at this show compared to 2013. As this market gains momentum, we stand to benefit with the product we supply across E&C and D&S. As we've mentioned previously, the LNG adoption rate in North America has been limited by the lack of LNG liquid available. 2015 will be a pivoted year -- a pivotal year in the energy industry as North America will have more LNG available for high horsepower applications than ever before. Chart is an integral part of delivering the increase in LNG with a combination of liquefiers we're providing to Noble, Stabilus and LNG Holdings, which are all scheduled to come online in 2015. Opportunities for gas processing and petrochemical applications are rising with the increase supply of natural gas liquids as U.S. tight oil production grows and reduction of gas flaring is mandated. We're well positioned to meet this demand. We believe the recent drop in global oil pricing over the past quarter will cause a more measured pace of adoption for natural gases of fuel for long haul trucking in the near term. However, LNG still offers an attractive payback for high horsepower applications and we see that moving forward led by oil and gas drilling applications. I'll now comment on specific highlights for each of our business segments. Our Energy & Chemicals business booked $147 million in orders during the third quarter, including the previously announced FortisBC LNG liquefaction plant and the Black & Veatch-Golar LNG Limited floating LNG project. As the interest in LNG for high horsepower applications grows, we see robust quoting activity for small to mid-scale LNG liquefaction for both domestic diesel fuel replacement markets and coastal export facilities. Increasingly, they represent the most cost-effective avenue to provide LNG for both of these applications. Additionally, we're well positioned to work as both the process provider with our proprietary IPSMR LNG liquefaction technology and as an equipment provider for other process providers and integrators. As I mentioned earlier, we're seeing more natural gas liquids in the market driven by growth in U.S. tight oil and white gas production. It's creating continued opportunity in the petrochemical space. As we announced today, we received an award for an additional ethane cracker where we are providing brazed aluminum heat exchangers and cold boxes. These applications have, however, drawn additional competitive interest in North America hence, future margin expectations should be tempered. Finally, mandated reductions for tight oil production gas flaring are providing orders and additional proposals for gas processing applications. Moving on to Distribution & Storage, we booked orders of $157 million in the third quarter, which is slightly down from the second quarter. North American industrial gas activity has continued to improve in the third quarter as we saw an increase in sequential order intake, particularly for MicroBulk and bulk storage applications. The benefit of more U.S. oil production and the dramatic growth of natural gas liquids in the market has led to further downstream opportunities for D&S, including ISO shipping containers and cryogenic rail cars on a global basis. From an LNG perspective, we have a bullish view on the future as 2015 will bring more liquid into the market than ever before and as our high horsepower product offering grows. We do anticipate that lower oil price will have an impact on the adoption of natural gas in the long-haul trucking market and we expect a more measured rollout as a result. Overall, D&S European orders float sequentially as the EU economy continues to bump along the bottom. We're watching the European market closely and feel that the softness will remain for the near term. In China, we are maintaining order momentum from the second quarter. However, revenues continue to lag given regulatory hurdles and customer delays. And we now anticipate that 2014 China sales will decline approximately 20% from 2014 (sic) [ 2013 ]. As a bit of good news, China has an active regulations for our self-contained movable LNG station or IMC as an official national standard. Our mobile LNG fueling system, the Orca, is still working through regulatory issues, which we believe will be finalized in 2015. On the customer front, we're dealing with delivery delays from a more modest LNG growth trajectory in China given the LNG versus diesel price spread and overall macroeconomic environment. Finally, we're taking a phased approach with our capital expansion associated with the new greenfield site near our Changzhou, China operation. This may impact the completion in 2015 as we weigh demand growth. We have a balancing act to perform. We must have available capacity to meet market growth with uncertain near-term demand. Within our BioMedical division, orders of $51 million were down 16% as we continue to face challenges in the respiratory therapy market. Our results are indicative of the continued impact of customer consolidation and the related inventory rationalization. We are seeing an effort by home health care providers to improve their asset efficiency, which is driving part and revenue -- and repair revenues to new highs in lieu of product sales. Furthermore, Medicare payment audits are impacting providers and physicians and have had the effect of reducing prescriptions for respiratory oxygen by approximately 25%. We now anticipate that BioMedical sales for 2014 will decline approximately 15% from 2013. The combination of European austerity and macroeconomic concerns, along with the Affordable Care Act implementation here in the U.S. will continue to impact the growth potential of our respiratory business. At the same time, we're seeing new opportunities develop in China as awareness increases regarding the impact of poor air quality on respiratory illnesses. During the quarter, we took measures to rightsize this business and at the same time, focus on continuous improvement initiatives. Michael will now provide you with our outlook for the remainder of 2014.
Michael F. Biehl: Thanks, Sam. The continuing uncertainty of China LNG growth and respiratory therapy demand in addition to global macroeconomic concerns including the recent drop in oil prices have caused us to reevaluate our anticipated results for the remainder of the year and as such, we are adjusting our sales and earnings guidance. Sales for 2014 are now expected to be in the range of $1.15 billion to $1.18 billion and diluted earnings per share are expected to be in the range of $2.40 to $2.55 per diluted share on approximately 30.7 million weighted average shares outstanding. This excludes any dilution impact resulting from the company's convertible notes, acquisition-related costs and facility startup costs. This compares with previous sales guidance of $1.22 billion to $1.27 billion and earnings guidance of $2.85 to $3.15 per diluted share on the same weighted average shares outstanding. This also excluded any dilution impact resulting from the notes, acquisition-related and facility startup costs. I'd now like to open it up for questions. LaToya, please provide instructions to the participants to be able to ask questions.
Operator: [Operator Instructions] And the first question is from Kathryn Thompson of Thompson Research.
Kathryn I. Thompson - Thompson Research Group, LLC: My first question is on China LNG repricing. There is roughly 18% or so price increase in September. The question is, how is this flowing to the market? And what magnitude of price increase is necessary in 2015 to be on parity in that market?
Samuel F. Thomas: I'm struggling to answer the question with respect to parity. The drive is -- the driver is the spread.
Kathryn I. Thompson - Thompson Research Group, LLC: Basically, you bring the domestic natural gas price closer to the cost of imports, with the endgame of encouraging higher domestic output.
Samuel F. Thomas: Yes, I'm not absolutely clear, but I think we're fairly close now in view of the fact that many of the crude cocktail-linked import pricing formulas are coming down, so we're probably at a fair global price or close to it now.
Kathryn I. Thompson - Thompson Research Group, LLC: Well, in light of that, I would assume that you should see some better overall volumes into 2015 out of China. Is that an incorrect assumption? Because one of the issues that have been affecting China LNG demand in particular was that big disconnect between domestic natural gas pricing and the cost of imports.
Samuel F. Thomas: We do think that demand will continue to increase. And in fact, our report from PetroChina was that they moved -- they have moved 10% more volume in 2014 than in 2013 and they expect that growth to continue. That's down from the sort of first half of 2013, 20%, 30% growth rate in volumes being delivered. So yes, we expect LNG volumes to continue to grow. There's also significantly more LNG liquefaction capacity available in China that's come on stream during 2014, as well as increasing LNG import purchase commitments coming into China from new liquefaction plants in Asia. What complicate the issue is the rate of conversion of truck fleets because that economic driver is driven by the spread between oil and gas.
Kathryn I. Thompson - Thompson Research Group, LLC: Okay. So I guess really from a trend-wise standpoint, the double-digit increases you're seeing -- I mean, double-digit declines that you're seeing in 2014, that number theoretically should improve once we get into 2015?
Samuel F. Thomas: We believe so. We are seeing, as we go through 2014, improvements in our deliveries of LNG equipment in China but at a lower rate than we had anticipated in our earlier earnings guidance.
Kathryn I. Thompson - Thompson Research Group, LLC: Okay. The next question is on BioMedical. Just stepping back and looking at the forest through the trees, what is your assessment of the realistic readjustment of margins on a go-forward basis? Just given the changes in the U.S. health care market, margin profile appears to be -- have been fundamentally changed. Now I know that's a bit of a challenging question given what we know today, but I would imagine that at least internally, you've put some pen to paper to think about what that fundamental change in margin profile would be for your U.S. BioMedical business.
Samuel F. Thomas: The largest element of the fundamental change in margins associated with our respiratory therapy business, the rest of BioMed being unaffected, have been with the decline in the use of liquid oxygen therapy and being largely replaced by concentrators, which are fundamentally more competitive, lower-margin products for a significant portion of that concentrator market. I think that in terms of what do I expect the margin profile to be going forward, I expect it to continue to improve. I don't expect in the 2015, early 2016 time frame to achieve the kinds of gross margins we had in the 2011, '12 time frame.
Operator: The next question is from Jeff Spittel of Clarkson Capital Markets.
Jeffrey Spittel - Clarkson Capital Markets, Research Division: Maybe if we can -- and I hope you guys can address this. I'm juggling a few conference calls. But to what extent, if any, I would imagine it's not much, would you expect to see customers pivot in terms of their LNG spending plans in North America because of the compression between diesel and gas prices?
Samuel F. Thomas: I think that we're certainly seeing it become challenging for fleet owners to -- who are considering the change but have not been evaluating or have not invested in any infrastructure to go forward right now when you've got a compression of that spread and also a sentiment in the market that oil may be coming down further, at least by a number of people. So we don't expect to see a ramp in demand. We would expect that to be flat. We do see -- we do continue to see for the high horsepower applications, for stationary, marine, mining, oil and gas production, a continued move because the price spread is sufficient and the relative level of infrastructure spending in order to make the conversion is lower that if liquid is available and liquefier is built close to within 1,500 miles of an application that's using a large amount of fuel, the economics are still compelling.
Jeffrey Spittel - Clarkson Capital Markets, Research Division: Okay. I appreciate that. And maybe -- we haven't talked a lot in recent quarters about the larger-scale LNG opportunities, I guess particularly in North America, it looks like there are certainly a lot of projects between the U.S. and Canada on the drawing board. Maybe just an update on how you're feeling about that bid pipeline and how competitive you think it will be from a pricing standpoint over the next several quarters.
Samuel F. Thomas: It looks very encouraging. What we've seen is that a large percentage of the projects that are in the proposal or are awaiting FERC approval are tending to be smaller plants with multiple trains as being more cost-effective than the very large 3.5 million, 4.5 million tonnes per annum single trains. And hence, Chart has, at the proposal stage and at the quotation stage, a very good representation on the North America plants being worked on. But in terms of orders, a number of them looked quite feasible to go forward in 2015. I don't expect significant revenue impact until late in '15 or 2016.
Operator: The next question is from Rob Brown of Lake Street Capital.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: First, I just wanted to clarify, is the backlog number you reported, does that include the order you announced today from Sasol?
Samuel F. Thomas: It does.
Michael F. Biehl: It does.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay. Can you give us a sense of the size of that order?
Michael F. Biehl: Really, for competitive reasons, we're not at liberty to state it, but it's in the general range of what we said those projects were in the past, the $15 million to $25 million range.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay. And then on the BioMed business, can you give us a sense of how much of that business is the respiratory therapy business? And really just in terms of a revenue level, has that -- how low could that get? And kind of just could you break up the revenue level of that, the respiratory therapy piece of that BioMed segment?
Samuel F. Thomas: It's -- I'm looking for the number close at hand. It's nominally $140 million and we think that, that's a stable base level. We've been forecasting recovery of that number and seeing it grow again. Our latest earnings guidance takes away that assumption of growth. Your turn. And I think the -- and I guess I should also say that in terms of that market resuming growth, it may be a longer-term resumption because we are seeing effects of the Part A in hospital versus Part B Medicare home health care spending allocation, which has become part of the Affordable Care Act implementation.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay, good. And just to kind of go into it, you've -- it's kind of been coming down over the last few quarters. I guess, how do you get any sense that, that could kind of stabilize here? Or what gives you confidence that it could stabilize at this level?
Samuel F. Thomas: The last 3 quarters have been reasonably stable, reasonably flat.
Michael F. Biehl: And it's really based upon order intake. I mean, as you know, that business is book and ship. So we have a -- we see daily orders and we have a feel for where it's sort of stabilized now.
Operator: The next question is from Eric Stine of Craig-Hallum.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: Just to clarify. So did you say that the standards have been rolled out nationally in China? Is that for your standardized skid stations? Did I hear that right?
Michael F. Biehl: That's correct.
Samuel F. Thomas: Yes.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: Okay. I mean, and I know that, that's something that you had been waiting for. I mean, it's fair to say -- it sounds like you don't expect the impact from that really to start until 2015?
Samuel F. Thomas: There are some additional stations going out, but yes, that's correct. The large part of our backlog execution into sales in the fourth quarter is weighted towards permanent stations.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: Got it. Okay. And then maybe just talking about China. I mean, maybe a little tempered from where you have been, but you're still expecting growth to come back in 2015. Just some of the things you're seeing on the ground, whether it's from PetroChina or some of the other majors or regional players that give you confidence in that view.
Samuel F. Thomas: I think that we still have positive discussions with both the national or state-owned enterprises, as well as a number of entrepreneurs who are going forward and see the availability of liquid from new liquefiers coming online. So that's positive. The relative cost of LNG vehicles versus diesel when you factor in the emissions treatment to hit the level for -- or national standard for emissions level for diesels make the vehicles quite close in competitive cost. The 1 wild card or the 1 challenge we have in predicting the growth rate and obviously, over the past year, have not had a very good track record in doing this, but the new wobbler in the mix is the significant decline in oil prices, which does get reflected in the Chinese market. The price of diesel in China is reasonably close to overall market price or comparable to prices in the U.S. and with this oil price decline, diesel prices come down as well. So it does compress the spread. We haven't fully digested nor do we think our customers have fully digested how that affects the rollout of LNG.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: Okay. Got it. Maybe just last one for me, turning to industrial gas coming out of last quarter. You were a little more positive that it was spotty but trending in the right direction. Sounds like you've gotten more positive in that business. Just thoughts on that going forward. I mean, is it too soon to kind of sound the all clear that we're going to start to see some growth? Or how are you feeling about that?
Samuel F. Thomas: Yes, as you might guess, I'm feeling a bit chastised about projecting growth rates. However, having said that, we have seen strong order intake in North America associated with a number of the major oil -- excuse me, industrial gas producers. They have solid financial results, although they're not projecting dramatic growth in the U.S. What we are seeing is they are increasing their capital spending and we're winning an attractive portion of that capital spending related to reducing their distribution costs for merchant gas and also improving the quality of service to customers. So our products are benefiting from the industrial gas majors actively competing and to win share, a greater share of the overall U.S. industrial gas market. I guess, in addition to that, the positive benefit from lower oil prices and lower energy prices in total is you would expect to see, we would expect to see an improvement in the overall industrial economy in the U.S. So both from a standpoint of orders and a macroeconomic outlook, I'd say that the industrial gas market is positive.
Operator: The next question is from Chase Jacobson of William Blair.
Chase Jacobson - William Blair & Company L.L.C., Research Division: So related to the guidance. You've been talking about the uncertainties in China and BioMed for a while. But the guidance has continued to come down. I think it's about 25% lower now on net income than when you -- than where you were 8 months ago. So I was just hoping you could give some more specifics on what else has changed during the year. And maybe some key factors or some parameters which you consider looking into next year given the fact that there were expectations not that long ago that your 2015 earnings will be close to double, when now it looks like they could be based on where the results have been.
Samuel F. Thomas: I won't speak to expectations of our 2015 earnings. In terms of the reduction in 2014, our plan from early on was a progressive improvement, particularly in the respiratory and China market. That has not happened. In the case of China, for the reasons that we've highlighted through the year, although failed to understand how severe and long-lasting they would be. Similarly, in the case of BioMedical, I underestimated the depth of change in the health care market in terms of home health care spending for respiratory therapy. And in fact, I've only just started to understand how the Affordable Care Act has increased Part A Medicare spending to the detriment of Part B Medicare spending. So yes, have we done a poor job of forecasting the market evolution and were we too optimistic? In hindsight, yes.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Okay. So anything -- what about in the E&C business on the profitability side, because I know that's more of a backlog business. So anything there?
Samuel F. Thomas: Well, we reported substantially improved results in the third quarter for the business, although part of that was receipt of change orders and a change of mix. And so the best way to look at the E&C gross margin is to look at the year-to-date number because, as you know, we highlighted earlier in the year, mix [ph] Associated with cost increases in projects that hadn't yet received change orders. So I would view the third quarter as a balancing of the overall results. We do see very strong order pipeline potential for the E&C business. However, the growth will be tempered because there will be a period of time where we don't have sufficient orders in backlog to continue to grow that business first half of 2015.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Okay. That's helpful. And then just one more on the capital allocation. I think you said that you're taking a more measured approach to the investment in China, but you did increase the size of your revolver today. So maybe just some updated thoughts on your capital allocation priorities as they stand here, considering the changes in the growth outlook.
Samuel F. Thomas: Over the last 2 years, we have significantly increased our capital spending to add capacity, both in North America and in China. We're now well positioned, having completed a lot of that, the majority of the CapEx anticipated in 2015 is the spending on our China expansion for the Distribution and Storage business. We're evaluating right now how quickly that money gets spent but it will probably be spent -- it will probably be spread out over a large part of 2015, potentially even going into 2016. We don't have -- at this point, we don't see a need for adding any significant capacity. We think we're very well positioned to provide high service levels to the market. In terms of the reason for the new debt facility, it's to give us more corporate flexibility overall.
Operator: The next question is from Greg McKinley of Dougherty.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: So just following up on that last question. Michael, can you give us a sense for what your CapEx view looks like this year now? And given Sam's comments on capacity, how would I think about that next year?
Michael F. Biehl: Expectation would be between $60 million and $70 million that we'll spend this year. At least that's what we're on track for, and I would expect it will be a lower level next year, probably in the, at this point, maybe $50 million to $60 million.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And then, Sam, in your prepared comments, you referred to you're bullish on North American small-scale liquefaction outlook. But you also said, look, we see some signs of increased competition in this market. Have other players built or developed domestic manufacturing capacity to compete in the brazed aluminum market at this point? Or is that more just an expectation that as that market develops, that will happen?
Samuel F. Thomas: No one has announced plans to put brazed aluminum heat exchange for manufacturing capacity in the U.S. We have seen increased quote activity competition from non-U.S. manufacturers supplying to the U.S. And I referenced it in particular in regards to petrochemical applications.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay, okay. And then you'd commented that these change orders in E&C this quarter sort of caught us up to where the margin rate should be in that business. I'd actually haven't done the math yet in terms of the year-to-date margin rate in E&C. So -- but if we take out that 5% for the quarter, we get down to just shy of 27% gross margin. So minus any, that would be understating that, that's not a -- how the core margin profile in E&C looks today, that was more a catch up for prior shortfalls.
Michael F. Biehl: Right, the margin on the average basis for the year will probably be closer to 28% to 28.5% range.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And with your expanded capacity in Wisconsin, how are you feeling about -- I guess, I don't know the degree to which overhead cost, et cetera, would impact E&C margins. But do you feel that there's enough either baseload or small-scale opportunities over the next 18 months or so that, that type of 28% to 29% margin helps absorb the cost from the expanded Wisconsin facility?
Samuel F. Thomas: We're not concerned with that. We're open for business and happy to take orders.
Operator: The next question is from Alex Potter of Piper Jaffray.
Yan Dong - Piper Jaffray Companies, Research Division: This is Winnie, in for Alex. The first question I have is on the revenue order from PetroChina. Would you guys be expecting to pay that out of backlog sometime in the near future?
Samuel F. Thomas: At this point, we've confirmed with PetroChina that the backlog or those orders from them, they expect to take them. They have not firmly committed to a delivery schedule for 100% of that backlog. They have said they expect to take a substantial portion of the backlog during 2015. So at the moment, I don't anticipate taking that out of the backlog. The evolution of delivery commitments over the next 2 or 3 months will make that determination.
Yan Dong - Piper Jaffray Companies, Research Division: Okay. That's helpful. And then again in China. Are you guys seeing continued interest in the build-out of LNG stations in China outside of what PetroChina is building?
Samuel F. Thomas: Yes. There is significant interest from a number of entrepreneurial companies, which have more distant ties to the state-owned companies but are either privately funded or publicly traded customers.
Yan Dong - Piper Jaffray Companies, Research Division: Okay. And then just finally, one clarification from us. In the PR, it was cited that the project change orders had positively impacted the E&C gross margin. Can you elaborate on what the project change orders were and if you can elaborate on whether the margin level can be sustained?
Samuel F. Thomas: The projects where the change orders were obtained are in relation to the large baseload LNG projects that we've talked about previously in previous quarters and mentioned cost impacts related to them. The -- in terms of the margin impacts, I think in the prepared comments and the financials were released, I've said that you should view the ongoing margin that we expect to achieve in the E&C business to be comparable to the year-to-date margin as opposed to the quarters margin. Because it's simply as a result of the mismatch in timing between recognizing costs on percentage of completion projects and the receipt of change orders. It means that in earlier quarters this year, we had reduced margins because of recognizing costs. In this quarter, we caught up as the result of purchase order and change orders.
Operator: The next question is from Tristan Richardson of D. A. Davidson.
Tristan Richardson - D.A. Davidson & Co., Research Division: I guess just more of a housekeeping type item. I'm curious, we've seen the tax rate tick up just given the change in mix. I'm curious sort of what you expect for the full year this year, sort of given what you're seeing on the mix side of things?
Michael F. Biehl: Presently, in the sort of 32% range is what we expect based upon the mix being more heavily weighted towards U.S. income. I mean, there's always the potential that if they do reinstate the R&D credits in the fourth quarter, we would see some benefit from that. But that's, right now, a wildcard.
Operator: The next question is from Pavel Molchanov of Raymond James.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: Going back to that theme of CapEx. It sounds like your capital intensity will diminish in 2015 and it also doesn't sound like your on the prowl for significant M&A opportunities. And at the same time, your stock is trading at a far lower multiple even on the reduced estimates versus a year ago. So what would prevent you or impede you from initiating a share buyback program given where the stock is currently?
Samuel F. Thomas: Well, first, I wouldn't rule out that Chart is interested in acquisition opportunities. I think that coupled with the -- or is a corollary to the diminished growth opportunities we see. Other companies in the industries we're in are also seeing that diminished earnings expectation and in fact, if the oil price continues low, then I would expect a tempering of that -- of expectation on prices for acquisitions, but we may very well be an active buyer, number one. Number two, the -- we have no structural impediment to making share buyback -- buybacks. As a board, we have not elected to do that as yet. We will continue to have that as an agenda item for consideration in the future.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: Okay. And then one more on the theme of North American small-scale liquefier demand. North Dakota has now had the anti-flaring rule for about 3 months, and news reports say that they're having some pressure on oil production and the EPA's rules nationwide going to effect next January. But the only kind of flaring-related contract that I recall you guys getting was about a year ago, the Niobrara project with Noble Energy. Is there, I guess, any acceleration in that kind of order that you see in front of you? Or is there something that's preventing it from picking up?
Samuel F. Thomas: There is an LNG liquefier operating in the market and there are several more that we are working with companies who are carefully exploring adding LNG liquefaction capacity. We have seen orders for a number of gas processing plants either being built or expanded, that are indicating that collection is being done. There is gas processing being done to remove the NGLs. And then there's the opportunity to either liquefy that natural gas, reinject it or put it in a pipeline. But clearly, pipeline collection from the wellhead to centralized or regionalized gas processing plants is going forward in the Bakken similar to other conventional and other tight oil fields in the U.S. where that kind of activity has been normal. In addition, those gas processing plants will also be removing the lighter ends from crude so that the crude being shipped by rail will be less volatile.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: Okay. So you anticipate more in 2015 as the EPA rules kick in? Or is it just commodity-driven?
Samuel F. Thomas: We have seen orders and we have a number of potential orders in the pipeline. But a number of our customers who build gas processing plants have been both placing orders and discussing future orders.
Operator: And the next question is from Robert Norfleet of Alembic Global.
Nicholas Chen: This is actually Nick Chen, for Rob Norfleet this morning. In terms of your guys BioMed segment, it seems like things are continuing to deteriorate. Can you just discuss any sort of potential restructuring initiatives or strategic initiatives that you guys might be discussing right now to help restore profitability? And then fundamentally, would it maybe make sense to have this business in the portfolio or maybe think about divesting it?
Samuel F. Thomas: It's always an option under consideration. However, we like the business, the technology fits within our technology portfolio extremely well. The troubled part of the business, the respiratory therapy and particularly, concentrated respiratory therapy, we've been addressing the costs by attacking the warranty or warranty history we have which we've got largely under control. We have also been streamlining the facilities, moving production to other parts of the world to continue to take costs out. So we have a continuous improvement plan, which we think, number one, will continue to improve the results on flat sales and give us significant upside opportunity when we have a more favorable market.
Operator: The next question is from Noah Kaye of Northland Capital Markets.
Noah Kaye - Northland Capital Markets, Research Division: So to go back to China and actually look upstream. The recent capacity ramp in Wuxi for BAHX, how much of that capacity in your thinking has been purposed for the domestic liquefaction market in China? And how do you think about that now in relation to some of the market dynamics you're seeing around appetite for new liquefaction?
Samuel F. Thomas: About 40% of -- 30% to 40% of the floor space of that business is suitable for producing cold boxes for either petrochemical applications or LNG liquefaction applications, whether it be in China or in the rest of the world. In terms of the demand side related to small-scale liquefiers in China, we have seen nearly a doubling of installed liquefier capacity in China during 2013 and less than full capacity utilization of that big slug of new liquefaction capacity going into service. So what we see is that -- is a hiatus of orders or a low level -- a very low level of orders in 2014 and at least through the first half of 2015, if not through all of 2015. But we believe that with China's growth plans for making natural gas a larger part of the economy and the environmental benefits that there will be a resumption of construction of small-scale liquefiers. We also believe that ultimately, more stranded gas around the world, and particularly in the Asian basin, will be brought to market by small-scale liquefiers, which that plant is well positioned to be able to provide.
Noah Kaye - Northland Capital Markets, Research Division: Yes, I mean, just to build on that. At China Fashion Week in Beijing this week, they had smog masks from designers. I think obviously as you say, there is a need to shift towards lower emissions solutions. It seems like the problem right now is that the pricing for LNG is not high enough for some of these plants to be profitable. But they can't pass on those costs, higher costs, to the power market. So I guess in the broad sense here, how do you think about these dynamics playing out over the next year or so? Are you expecting any further action from the government that would improve the fundamentals either for the D&S or for liquefaction? And how -- given what you mentioned earlier about order momentum being maintained, how should we reconcile that with the decision to potentially hold off the ramp of production?
Samuel F. Thomas: Well, we hadn't forecasted or suggested tremendous revenue benefits related to LNG liquefiers in China, number one. Secondly, the utilization of the existing liquefier capacity that has been installed in 2014 is a far stronger driver of demand for Chart overall because of the need for fuel tanks, storage tanks, distribution equipments and fueling stations in order to take that LNG to market. So simply, the utilization going forward of the existing installed capacity will be beneficial to Chart. In terms of how do I forecast how these price issues will be resolved and how quickly that capacity will be utilized, clearly I haven't had a great forecasting history, so I'm not going to branch out into forecasting energy prices or price spread. I don't think it would benefit me or anyone else. I would say that energy markets are volatile. Natural gas is an attractive fuel and sufficiently plentiful and can be distributed as LNG that it will continue to grow in use.
Noah Kaye - Northland Capital Markets, Research Division: So would it be fair to say that kind of given the trajectory that you're at least expecting for the moment, you don't see a constraint on your tank production capacity throughout 2015 at this time?
Samuel F. Thomas: That's correct. I think that with the capacity we have added or in the process of adding in the Distribution and Storage business in China, we're very well positioned to serve this market and are working hard at being the highest quality, best value proposition for anyone installing or utilizing LNG equipment.
Operator: [Operator Instructions] The next question is from Walter Liptak of Global Hunter.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: My question is about the E&C backlog. I was hoping we could get an idea of what ships, how much comes out of there in the fourth quarter? And then in 2015, how much of that backlog is scheduled to ship?
Michael F. Biehl: Right now, at the end of the third quarter, about 330 million of it was -- of the backlog was related to E&C.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Yes. And I guess, specifically for E&C?
Michael F. Biehl: Right, specifically for E&C. And the expectation is that possibly 1/3 of that will roll out this year and then the balance, majority of it would roll out in 2015. There may be some small pieces that will roll in 2016. But right now, I would say the majority of it will be out by next year.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay, great. And then switching gears to PetroChina again. I guess the question is -- I wonder if you can -- it seems like these delays are taking longer or they are getting pushed out further. Can you walk us through just what the story of what happened again and what's happened most recently?
Samuel F. Thomas: Yes, we had significant order intake and significant growth in orders from PetroChina in 2013. Coincident with the new government in China, there were a number of corruption investigations, which named and targeted a number of senior PetroChina and affiliated companies, particularly Kunlun Energy or Kunlun Gas, led to some paralysis and a slowdown because people -- senior managers were removed and replaced, mostly at a significantly higher level or all at a significantly higher level than we dealt with. But it did cause a slowdown in the growth ramp up of PetroChina's activities. There's also been, as we've seen with many of the global energy companies, a pullback on capital spending, which wasn't always clearly communicated as it was happening. But when we look back in retrospect and see from analysts reports what they've been spending, we see that there was also at the end of 2013 and through 2014 a pullback in capital spending. The comments we got from our customers, from the PetroChina people we deal with, was that they were simply pushing out delivery schedules and that they were continuing to invest in and develop and grow the LNG business. Overlaid on top of that, the message of rolling out this fueling station infrastructure were not fully covered in China national regulations. So PetroChina in particular, was utilizing these modular or integrated movable stations, our IMCs, to put -- to quickly put fuel stations at existing diesel or gasoline stations alongside them. Our competitors copied them. There were a number of safety issues and safety concerns related to having these in densely populated neighborhoods or what size tanks could be used to provide adequate safety, which caused a step up in enforcement to finalize the regulations. So that went on for a good part of the fourth quarter of 2013 to 2014, and we didn't do a good job of understanding how long that would take to resolve. So that also slowed down implementation. And similarly, the work of mobile fueling devices were something that were being used extensively for new fleets starting up with 10 or 20 or 30 trucks. They were using these mobile device -- these mobile trucks to fuel them. Again as competitors copied us, there were some accidents associated with them and a step up in trying to finalize the regulation and holds put on continuing to ship products into the market because in the China regulatory environment, regulations are proposed but all the equipment going out into the market isn't necessarily in full compliance while they're trying to determine exactly what level the standard should be. That also has -- we proposed solutions, we think we have effective solutions and the main safety concern with those mobile devices is that trucks aren't being refilled from mobile refueling devices on public streets or in congested neighborhoods. And so we've come up with ways to allow fueling from those devices only from approved locations, even though they can be moved but they can only pump fuel when they're on approved locations and it's taking time to finalize that regulation. So those 3 causes have led to the slowdown in the implementation and roll out of the fuel stations and have caused our lack of ability to forecast how quickly that backlog would roll out as finished product.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Is there a date for the final ruling on the regs?
Samuel F. Thomas: The IMC containers, the self-contained movable stations, the regulation was published in the third quarter, late in the third quarter. I think it was September. So that is finalized and it just has to be fully absorbed by people, but we are shipping stations again. On the Orca mobile stations, the latest view is that it will be early 2015.
Operator: And at this time, I'd like to turn the call back over to Sam Thompson (sic) [Sam Thomas] for closing remarks.
Samuel F. Thomas: Thank you, LaToya. I just like to say that this has been a challenging quarter, and we're disappointed and chagrined with our ability to meet our forecast through the year, and so we're working hard at correcting that. In addition, we are focused on continuous improvement activities, and I feel that we have a very strong business that will get stronger. We have very strong market positions, very good relationships with our customers and lots of good opportunities going forward. The oil price drop does cause concern because in terms of LNG rollout at the diesel fuel replacement, it is dependent on the spread between LNG price and diesel price and clearly, that spread has been compressed. But in the meantime, I would say that Chart is well positioned to both handle a lower growth rate, and we'll endeavor to improve our operating margins and our working capital performance regardless of the growth of our business in the near term. But we also stand prepared to get back on a growth track very quickly and expand our production. So we're very confident in the future, but our near-term growth expectations are tempered. So thank you very much for listening. Goodbye.
Operator: Thank you. Ladies, that does conclude -- ladies and gentlemen, that concludes our conference for today. You may now disconnect. Good day.